Operator: Good day and welcome to the Xcel Energy's First Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead, sir.
Paul A. Johnson - Vice President-Investor Relations: Good morning, and welcome to Xcel Energy's 2015 first quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; Teresa Madden, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer questions. This morning, we will review our 2015 first quarter results, reaffirm earnings guidance for 2015 and update you on recent business and regulatory developments. Slides that accompany today's call are available on our webpage. In addition, we will post a video on our website of Teresa summarizing financial results later this morning. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. Today's press release refers to both ongoing and GAAP earnings. First quarter 2015 ongoing earnings were $0.46 per share, which exclude a charge of $0.16 per share following the decision by the Minnesota Commission in the Monticello nuclear prudence review. GAAP earnings for the first quarter were $0.30 per share. Management believes ongoing earnings, which removes the impact of charges related to the prudence review, provide a more meaningful comparison. As a result, the comments on today's call will focus on first quarter ongoing earnings of $0.46 per share. With that, I'll turn the call over to Ben.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, thank you, Paul, and good morning. Today, I'm going to provide a business update, review several recent regulatory outcomes, speak to you about our legislative efforts in Minnesota and Texas and discuss our recently-increased dividend growth objective. Teresa will provide more details on some of these items. We're beginning 2005 (sic) [2015] (2:03) with a solid start. While timing and weather differences led to some variability in the quarter, our earnings remain on track and we are reaffirming our 2015 guidance range of $2 to $2.15 per share. In February, we increased our dividend almost 7%. We also raised our annual dividend growth objective to 5% to 7% and established a formal payout target of 60% to 70%. These actions reflect our confidence in the company's long-term strategic plan, the strength of our balance sheet and our projected cash flows. From an operational perspective, we met key milestones in our transmission business as we energized the final sections on two of our major CapEx 2020 projects, bringing the lines into service on time and on budget. The region will derive meaningful benefits from these valuable assets. We're also pleased to be named the Number-One Wind Provider in the country for the 11th straight year by AWEA. We're pleased to be included in Forbes Magazine of the 100 Most Trustworthy Companies in America and to be recognized as the Best for Vets Employer. From a regulatory perspective, we brought three major proceedings to a close. In Colorado, the Commission approved our three-year electric regulatory plan. This constructive multiyear settlement provides rate certainty for our customers and revenue certainty for the company. This represents the second multiyear plan we have implemented in our Colorado electric business and we believe that this agreement can serve as blueprint for our pending natural gas rate case. Turning to Minnesota, we continue to believe we acted prudently throughout the construction process at our Monticello nuclear facility. The important takeaway is that our customers and the region will benefit from a safe, reliable and diverse fuel mix, including nuclear, for many years to come. While we disagree with some of the Commission's findings, and we will need to review the final order, it does represent resolution of an issue that has been an overhang on the company. Finally, in our inaugural, multiyear rate case in Minnesota, we were encouraged that the Commission generally agree with the ALJ recommendations in the proceeding, and supported the company's position on many of the key issues. While we would have preferred to avoid a 2016 regulatory filing and we felt we provided a path to do so, we believe the final result was a reasonable outcome. However, we continue to believe there is an opportunity for future improvement and streamlining of the regulatory process. We feel that more specific legislation will facilitate this, and provide greater predictability for customers and the company. In order to achieve the ambitious state and federal policy initiatives that are quickly approaching, it's important that the company have additional tools at its disposal to meet these evolving requirements. As a result, we've been proactively working with key stakeholders on a multiyear plan regulatory bill currently being considered by the Minnesota Legislature. Some of the key components of this regulatory compact include: expanding to a five-year multiyear plan, allowing for formulaic recovery of capital investments, recovery of O&M expenses based on an electric industry price index, continuation of interim rates while the plan's under consideration, and protections in the event of unforeseen developments. The proposed multiyear plan legislation is contained in the omnibus House energy bill. The state omnibus energy bill does not include the multiyear plan legislation. The energy bills have passed the floor vote in both the House and the Senate. The bills will now be reconciled in Conference Committee, and we expect the final bill will include the multiyear plan legislation. Once the Committee has reconciled the bill, it will be sent back to the Senate and House for a vote. And while the process remains fluid, we are cautiously optimistic regarding its passage. If successful, we will look to incorporate components of the bill, as appropriate, in our rate filings in the future. In Texas, we've worked with various stakeholders on a bill that addresses regulatory lag. The regulatory bill passed out of the House Committee earlier this month, and we're waiting for it to be scheduled for a vote on the floor. The proposed legislation provides for the inclusion of post-test year rate base additions and supports the implementation of more timely surcharges. However, industrial customers continue to have concerns with the bill, and we are currently working to resolve these issues. We're hopeful that the bill will be passed into law, as it is an important step towards reducing regulatory lag and would help to facilitate investment in the growing area. Late last year, we discussed our plans to focus on incremental growth opportunities in transmission and natural gas assets. Recently, we've been socializing the concept of rate basing natural gas reserves in Colorado. We're working with stakeholders to see if we can schedule a series of discussions to explore the concept of rate basing natural gas reserves, and how to best take advantage of the current low natural gas price for the benefit of customers and the company alike. Finally, I wanted to brief you on – about an exciting new investment that we're pursuing. Courtenay is a 200-megawatt wind power purchase agreement that NSP-Minnesota signed in 2013. For various reasons, the developer has decided to exit the project, providing us an opportunity to pursue ownership of the wind farm and to ensure that our customers will benefit from the addition of cost-effective wind generation. We are seeking regulatory approval in Minnesota and North Dakota to take this project over and eventually place it in rate base. The facility is expected to be in service at the end of 2016 and cost approximately $300 million. The project is not included in our current five-year capital forecast, and we don't anticipate needing to issue any incremental equity to finance it. We've made significant progress in the first four months of this year, and I look forward to making even more progress in the coming months. With that, I'll turn the call over to Teresa.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thanks, Ben, and good morning. Today, we reported ongoing earnings for the first quarter of $0.46 per share, versus $0.52 per share last year. While the quarter was subject to some timing differences and an adverse weather comparison, the results were in line with our expectations. The most-significant driver in the quarter was improved electric margin that resulted from new rates. However, the weather comparison versus 2014 was significant causing a $0.05 per share negative variance. Increased O&M and depreciation, along with the higher effective tax rate, were also notable offsets. Now, let me provide an update on sales in the economies in our local service territories. Weather-normalized electric sales increased at 0.5% for the quarter and natural gas sales rose 2.9%. In the first quarter of 2014, we experienced very cold weather. As we all know, the weather normalization process is not an exact science. And it is possible that our first quarter 2014 weather-normalized sales may have been somewhat distorted. With that in mind, we continue to be confident in our 2015 electric weather-adjusted sales growth assumptions of 1%. Let me provide a little more detail on sales growth by company. Beginning with NSP-Wisconsin, weather-adjusted retail sales increased 1.7% due primarily to growth in the oil, gas and sand mining-related businesses. Electric sales at SPS increased 1.9%, driven by growth in both the residential and C&I classes. While we are closely monitoring the impact of oil prices on production activity, the Permian Basin has been resilient. PSCo's electric sales increased 0.4%, which was primarily attributable to strength in the C&I class due to the expansions in the healthcare and technology services sectors. Finally, NSP-Minnesota's electric sales decreased 0.5% as usage declines more than offset new customer addition in both the residential and C&I classes. Overall, our service territories remain healthy, particularly relative to the rest of the nation. Consolidated unemployment in our regions is 4.2%, well below the national average of 5.6%. The number of jobs in our regions grew 2.5% during the quarter compared with 2.3% for the nation. Focusing on the earnings for the quarter, ongoing electric margin increased $40 million. Key drivers included non-fuel riders that increased margin by $34 million, largely reflecting the Clean Air Clean Jobs rider in Colorado, which became effective January 1, 2015. The implementation of final and interim rates increased margin by $23 million and increased net transmission revenue, which improved margin by $7 million. Offsetting these positive factors was an unfavorable weather comparison year-over-year of $25 million as well as a few other less-significant items. It is worth noting that during the first quarter of 2015, we took a conservative approach to revenue recognition. During the quarter, we continue to book revenues at the 2014 interim rate level and did not assume that the Minnesota Commission would approve our netting proposal, which would have increased revenues by just over $10 million. If the MPEC (12:26) approves our interim rate netting proposal, we will record revenue in that period at the higher authorized level retroactive to January 1, 2015. When thinking about margin comparisons for the reminder of the year, it is important to remember that as we move through the balance of 2014, we recorded increasingly-larger potential refunds to customers, ending the year with a rate increase consistent with the ALJ recommendations. Due to these timing factors, we expect an improving margin comparison in Minnesota for the reminder of the year. Margins on the natural gas side of our business decreased by $12 million for the quarter. This is primarily due to the negative weather comparison, which more than offset higher rider revenue and retail sales growth. O&M expenses increased $26 million in the quarter. The higher level is almost entirely driven by the timing of planned outages. We remain confident that we will achieve our annual O&M growth assumption of zero to 2%. Depreciation expense increased $27 million for the quarter due to capital investment and lower amortization of the excess depreciation reserve in Minnesota. Finally, other taxes increased about $12 million, largely driven by higher property taxes in Minnesota and Colorado. Next, we'll provide an update on several regulatory proceedings. Additional details are included in our earnings release. During the quarter, as Ben indicated, we made significant progress with our regulatory agenda, resolving three key proceedings. Beginning with Minnesota and our multiyear rate filing, we were pleased that the Commission recognized the strength of the company's arguments and largely accepted the recommendations of the ALJ. Based on our interpretation of the Commission's oral deliberations, we estimate a total revenue increase of $168 million, which compares to our revised request of $221 million. The Commission approved a 9.72% ROE, and equity ratio of 52.5%, and a three-year decoupling pilot. We view this as a reasonable outcome and expect the final written order in May. We also concluded final deliberations in our Monticello prudence review. The Commission approved a full return of $415 million of the project's $748 million total cost. However, allowed recovery of the investment with no returns on the remaining $333 million. As a result, we've recorded one-time pre-tax charge of $129 million during the quarter. We estimate that the 2015 ongoing pre-tax impact of the decision will be approximately $16 million on a total company basis. Finally, in February, we were pleased that the Colorado Commission approved the settlement in our electric rate case. The final decision reflected an overall increase of $53 million in 2015 and ROE of 9.83% and an equity ratio of 56%. In addition, we have implemented forward-looking riders for our Clean Air Clean Jobs and transmission-related spending. The agreement covers 2015 through 2017 and continues the productive multiyear regulatory compact that we've been operating under since 2012. In March, the PSCo filed a multiyear natural gas rate case covering 2015 through 2017. We are requesting a 2015 rate increase of about $41 million and subsequent step increases of $8 million in 2016 and $18 million in 2017. The requested ROE is 10.1% in 2015 and 2016, rising to 10.3% in 2017. In addition, we filed for a five-year extension of our pipeline system integrity rider that drives revenue increases of $22 million and $21 million in 2016 and 2017. We filed the gas case with principles generally consistent with the recently-settled electric case, which we hope will provide the framework for our first multiyear natural gas rate plan in Colorado. In our Texas rate case, the schedule had been abated for 30 days in order to allow for settlement discussions. However, we haven't been successful in reaching a settlement; therefore, the procedural schedule to process the case was established on Monday. Regardless, the parties have agreed, rates will be effective in mid-June. Finally, in South Dakota, interim rates of about $16 million went into effect on January 1. We currently are in settlement negotiations with parties, and expect final rates to be effective midyear. This morning, we are reaffirming our 2015 ongoing earnings guidance range of $2 to $2.15 per share. Our guidance range is based on several key assumptions, as described in our earnings release, including constructive outcomes in our regulatory proceedings. Please note that some of the assumptions have changed. For more information, please see our earnings release. With that, I will wrap up my comments. We are pleased to be making progress with our regulatory agenda. We have gained substantial clarity in recent months, and are cautiously optimistic regarding the potential success of our legislative initiatives. We are reaffirming our 2015 ongoing earnings guidance of $2 to $2.15 per share. We are excited about the Courtenay Wind Farm investment opportunity. We continue to expect 2015 O&M to be flat to up to 2%. We are well positioned to deliver an attractive long-term value to our shareholders by growing earnings 4% to 6% annually. And finally, we are pleased to raise our dividend growth objective to 5% to 7%. So, operator, we'll now take questions.
Operator: Thank you. We'll go first to Ali Agha at SunTrust.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Good morning, Ali.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hi, Ali.
Ali Agha - SunTrust Robinson Humphrey: Hey. How are you? First off, just to clarify a little bit on Minnesota, Ben or Teresa. So, when we factor in the rate case, and that was just completed, does that make a dent as far as your lag in 2015 is concerned? (19:36) an appreciable improvement in earned ROE this year, or not, versus 2014?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Ali, we're going to be pretty consistent where we've been at kind of in the mid-8%s, maybe a little bit higher than that, but it'll be pretty consistent with where we have been at.
Ali Agha - SunTrust Robinson Humphrey: I see. And then, from – just to understand the timing, when would you expect the legislative actions to be completed? And then, how does that relate to the timing of when you would make your next rate case filing there?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Unless it goes to extended session, it wraps up in May. And obviously, we've talked about filing a 2016 rate case, Ali. So, we'll see what actually is passed, and then we'll incorporate that into our thoughts going forward. To your former point, I think ,closing the regulatory gap, this 2016 case will be where you'll start to see that improvement – and that's what we've thought all along.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Just to – in terms of timing, Ali, we would expect to be filing right around the November 1 timeframe, so that interim rates for 2016 would go into effect at the first of that year.
Ali Agha - SunTrust Robinson Humphrey: Yeah. And then, a bigger picture on this lag issue, as you reiterate, the goal is a 50 basis point reduction in lag by 2018. And can you remind us, embedded in the 2015 guidance, what is the total lag, in terms of a starting point we should be thinking about?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Ali, right now, our lag's running close to 100% (sic) [100 basis points] (21:12), but we're closing 50 basis points, and we expect the trajectory to be lower in the first years, and graduating up to the 2018 timeframe. So, only modest as an initial start.
Paul A. Johnson - Vice President-Investor Relations: Ali, that was 100 basis points.
Ali Agha - SunTrust Robinson Humphrey: 100 basis points.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: What did I say?
Paul A. Johnson - Vice President-Investor Relations: Percent.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: I said 100%?
Paul A. Johnson - Vice President-Investor Relations: Yeah.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: That would be bad.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Yeah, that would be bad.
Ali Agha - SunTrust Robinson Humphrey: And my last question. I know that you don't have any equity plans over the five-year CapEx cycle. And so, when you talk about the earnings CAGR, I believe it's 4% to 6% over that five-year period, from the normalized 2014 base. And the rate base CAGR over that five-year period is 4.7%. Am I correct in those numbers?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Well maybe, Ali, just to clarify, we do have some equity issuances through our DRIP and our benefit plans and that's about $75 million a year. But you're correct about the rate base. If we add Courtenay and we're probably just slightly under 5%, in terms of that, and growth continues at 4% to 6% in terms of earnings projection.
Ali Agha - SunTrust Robinson Humphrey: Got it. Got it. Thank you.
Operator: And we'll go next to Greg Gordon at Evercore ISI.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hi, Greg.
Greg Gordon - Evercore ISI: Thanks. Good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Greg.
Greg Gordon - Evercore ISI: So, the things that are happening in the short run here are the filings for the approval of the wind farm. Do you know what the – is there a statutory timeframe under which you expect to get a decision from those two jurisdictions?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I don't think there's a statutory timeframe, but there's a practical timeframe and we would need to get the decision so that we can meet the construction cycle by late summer.
Greg Gordon - Evercore ISI: Okay. Late summer. And then, the legislative session, you indicated, already ends end of May. And then, what is the – what do we have to look forward to in terms of milestones with regard to your seeking to potentially rate base gas reserves? And if you were to get a program equal to your aspirations out of the gate, how would that be – what will you be looking that in terms of size and investment?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I think there's a lot of unknowns around that, Greg, to be frank with you. And like we said, I mean, what we're trying to do is set up the discussions in Colorado. Focus then on the LDC gas business, get some consensus around that and then potentially move forward in 2016. The size and all of that will be based upon those dialogs that we hope to have.
Greg Gordon - Evercore ISI: Okay. But you're starting with the concept of procuring reserves for retail supply to the LDC business, not procuring reserves for power generation fuel?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah.
Greg Gordon - Evercore ISI: Okay. That's helpful. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome, Greg.
Operator: And we'll go next to Julien Dumoulin-Smith with UBS.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hey, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: So, perhaps, the first quick question going back to Minnesota legislation. When you think about the time period that you could stay out and implementing it, in theory, in this 2016 case, what would you be – what kind of period are we talking about as best you understand it? And then – and perhaps a more relevant question here. If you don't get the legislation by the end of May or what have you, as you think about the 2016 case, is there any potential to have a multiyear stay out under any variety of the scenarios that would exclude legislation?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Sure. Well, Julien, we had a path to stay out of 2016, but it was going to be based upon how we handled certain depreciation reserves. And so, when that opportunity was not taken, it put us in a position, as you know, that we are going to file the 2016 case. Now, we have mitigation tools still available to us. If the legislation pass, we might have more tools, longer timeframes that we can do. But even if the legislation doesn't pass, we are going to follow a multiyear plan in 2016. And when we look at our spend profile and our recovery needs, I think the longer the plan is, the more modulation and mitigation we can use for the benefit of our customers and for clarity for us. So, I think we've got a pretty solid path to start to close that regulatory lag. It's been really pronounced in Minnesota. Legislation will help, but the traditional way to file a rate case, although laborious, also works.
Julien Dumoulin-Smith - UBS Securities LLC: And perhaps, I know this is very tough to ask. But how do you think about collapsing the rate lag, just organically given smaller rate case prospectively in 2016? I mean, how much of the improvement here is simply, again, just another filing with a more modest ask and having some of those mitigation tools versus having a legislation in hand and leveraging some of those tools that enables you? I mean, what kind of delta are we talking about? And I know that's putting a lot (26:44).
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Pretty hard to quantify that, I would say. I mean, let me just say that the majority of the ask in 2016, whether we use legislative initiatives or what we have available to use now, is going to be capital driven. So, Julien, I think that always helps. Capital is always less controversial than O&M. The advantage, though, of a longer timeframe is that we have more opportunities to sculpt the capital to – and the mitigation tools to take advantage of the fact that the pace of investment does start to slow down. And again, what we've talked about before is that we really need to have longer timeframes where we're not in front of the regulator, look to just kind of proceeding trying to get rate relief, because there is a lot of policy discussions that we want to have and, frankly, I think our Commission wants to have with us. But we can't do that right now. So, that was the disappointment really of having to follow 2016 case, as there is a lot going on and it kind of makes it harder to have those dialogs. But the dialogs will happen. So, did I answer your question, hopefully?
Julien Dumoulin-Smith - UBS Securities LLC: As best you could, I appreciate it. And then, maybe in separate direction here...
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: That means no.
Julien Dumoulin-Smith - UBS Securities LLC: It's a little bit easier. A little bit more palatable. Can you comment around SPS and, just generally speaking, the environment to-date in terms of the commodity impact, et cetera? What are you seeing prospectively in terms of capital need?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: In SPS, is that what you're asking?
Julien Dumoulin-Smith - UBS Securities LLC: Yeah, just given the lower oil price environment.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: It really hasn't had much of an impact at all. The Permian Basin is a good place from an economic standpoint. We understand that there is more supply chain initiatives from the developers squeezing out more cost. But the other thing – and I think that's very important to recognize – is that we had a tremendous backlog. So, you've got well – we've got the majority of the wells that stood on – are still running on very expensive diesel and things like that. So, there is a lot of backlog. It gives us time to catch up. Ultimately, I think prices will rebound it a bit. But I think we're in pretty good shape there. And the other thing that's happening is, in that area of the country, there is other economic activity as well. So, still going pretty strong and the sales growth expectations down in that region are pretty strong and we think will continue to be so.
Julien Dumoulin-Smith - UBS Securities LLC: All right. Great. Thank you, guys.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks a lot.
Operator: And we'll go next to Travis Miller with Morningstar.
Travis Miller - Morningstar Research: Good morning. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Travis.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hey, Travis.
Travis Miller - Morningstar Research: Hi. Wondering as you went through the 2014-2015 rate stuff in Minnesota, were there lessons learned through that whole process that you expect to embed in the 2016 case? Anything that you might have asked before that you won't ask for now, any adjustments that you'll make based on those negotiations, absent the legislation and that whole side of it?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I guess it reaffirmed to us that we need to change the regulatory process. That's why we're seeking the legislation. It doesn't allow us to have the dialogs, Travis, that we mentioned. We need – it's a new world. Our policymakers want us to do more and, frankly, we are doing more. We filed, I think, a very transformational resource plan at the end of last year. We're going to move forward and be very aggressive on renewables. We want to make sure we do that with efficiency in mind, using large-scale renewables. It's tough to do that, as I mentioned, in the rate case. I guess specifically, we need to – we probably self-mitigated a little bit as we filed that rate case, recognizing that it was a big ask. And that puts – those things we didn't ask for will just resurface in 2016, and we'll ask for what we need. And as I mentioned, it's capital-based. These are investments that I think everybody wants us to make. So, we've got to update the regulatory compact in keeping with the times. And I think that's what the e21 Initiative was about, and we're proposing how we implement that in Minnesota.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Maybe just to add to that, and I think you touched on it, Ben. I mean one thing that was definitely reconfirmed was the tolerance for the customer bill...
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: And the legislation clearly will have – assuming it goes forward – have parameters that will help us, in terms of the longer term, to manage through that, with the capital investment that Ben mentioned.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. And just – you need more tools, you need to have different kinds of dialogs, and that's what we would get with legislation. But we can do it the old fashioned way too.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Yeah.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Just not as efficient.
Travis Miller - Morningstar Research: Okay. Great. And then, what's your latest thinking on competitive transmission? Any project you're looking at out there, any – is that at all part of the growth strategy still?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: We don't – as you know, we haven't assumed – what we have in our transmission CapEx is – it's state-regulated, and it's identified. It's not pie in the sky. So, we don't have competitive transmission. But there are – but the opportunities are fewer, as you know, than what, I think, people were talking about a year ago. But there's some opportunities, and we're looking at a relatively small opportunity in MISOs, and potentially some smaller opportunities in SPP, which I think will give us a chance to understand how competitive bidding will work. Relatively small right now. I think, as the EPA rules get clarified and both SPP and MISO refine their projects, or refine the needs, we'll have more opportunities to bid competitively.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Yeah. We still think it'll be there, it's just delayed a bit.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yeah. Exactly, Teresa.
Travis Miller - Morningstar Research: Okay. Thanks a lot. Appreciate it.
Operator: And we'll take our next question from Angie Storozynski of Macquarie.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hello, Angie.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hi, Angie.
Angie Storozynski - Macquarie Capital (USA), Inc.: Hello. How are you?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Good.
Angie Storozynski - Macquarie Capital (USA), Inc.: I just want to go back again to this Minnesota legislation. I mean we've been following it, and so here are a couple of concerns that we have. First of all, it seems like the legislature is split in Minnesota. And so, why do you feel convinced or hopeful that both House and the Senate can agree on the version of a bill that will actually include those multiyear rate cases? And more importantly, so we had this issue in Colorado already, that the regulators then didn't necessarily think that the new law is really binding, it's more of a suggestion. So, how likely is it that we do get a bill, and then the regulators in Minnesota think that it's still an option for them to pursue or not, and then we may end up in yet another rate case?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, couple questions that you asked. First of all, as we all know, sausage making and the political process can be kind of messy. And that's what we are in. But what we're being told, and what we understand is, while there is controversy between the House and Senate bill, and that's the difference between Republican versus DFL controlled, and their different interests, the multiyear plan provisions really aren't controversial. So, when this thing goes to Conference Committee, we think it's a very good possibility that the provisions of the multiyear plan remain. While you can only be cautiously optimistic, because it is a political process, and if there were things in the final bill that was passed by both House and Senate that were unappealing to the Governor, you always have a risk of veto. So, that's the reality there. In terms of whether it will be viewed by the Commission as an option versus a mandate, I think, one, you'd have to look and see how the legislation is finalized. But I also believe that the Commission is frustrated with how the process works in Minnesota to sell (35:30). So, I think you kind of saw that as the Commission was thinking about the opportunity that we said to stay out of 2016. And I'm not sure that they felt they were – it was quite ready. And so, with legislation, even if it's an option versus a mandate, I think, they feel much more comfortable with that. We have Chris Clark here, I don't know if, Chris, you want to add to that?
Christopher B. Clark - President, Northern States Power Company - Minnesota, Xcel Energy, Inc.: I'd agree with that. I think that Commissioners have been interested in engaging in that dialog you talked about earlier Ben. And so, I think the legislation will be viewed as tool that helped to enable that.
Angie Storozynski - Macquarie Capital (USA), Inc.: And then, I mean maybe it's just my understanding of the House version of the bill. Is that – you would still need to file rate cases according to this bill, right? I mean, maybe not as frequently, but the rate cases would still not be avoided?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think you would file the base year (36:28), right? I mean – and then – but you'd have a much longer runway that you could then use to have more formulaic recovery of your capital spend and your O&M.
Angie Storozynski - Macquarie Capital (USA), Inc.: How about the ROEs resetting?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: That's not really addressed. So, maybe that would come through if there was a change of circumstance or something like that. But I'm starting to speculate now, Angie.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. I'm sorry about it. Okay. Thank you.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks.
Operator: And we'll go next to Paul Ridzon at KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hi, Paul.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Paul.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Are you looking at gas reserves for rate base in any other states besides Colorado, have you started any dialogs yet?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: No, we haven't. So, we're starting with Colorado. That's the biggest gas use, and we'll move forward from there.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Is that something you'll consider.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Sure. Yeah.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Sure. Yeah. Sure.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Okay.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: We'll consider it. We don't have as much of a gas load, for example, in Minnesota. In Texas, I think some of our larger C&I customers probably would not want us to do that. So, those are factors we'd have to consider, Paul.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Okay. And then Courtenay, what's the status of Courtenay and is it going to get the PTC?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yes. That would be the plan, which is why we're on a tighter construction schedule, because it needs to come and service at the end of 2016. But it would be eligible for the PTC credits. And Paul, it's a great project. I mean, it's – the levelized cost of it is way below what we could basically acquire natural gas reserves for. So, it's kind of an indirect way to hedge gas.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And you said that was 200-megawatts for $300 million of capital?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yes.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Yes. And just to add to Ben's comment, our target is to have the project done by October of next year. So, we do have a little headroom just in terms of the PTC completion requirement ending at the end of 2016. So, we do have a schedule we need to follow closely. But we do think we have some headroom.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And where is that from?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: In North Dakota.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: North Dakota. Thank you very much.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thanks, Paul.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thanks, Paul.
Operator:
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Well, hearing none, thank you all for participating in our earnings call this morning. Please contact Paul Johnson and the IR team with any follow-up questions. And thanks, everyone.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thank you.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thanks.
Operator: And that does conclude today's conference. Again, thank you for your participation.